Operator: Good morning, and welcome to the Peoples Bancorp Inc. Conference Call. My name is Kate, and I will be your conference facilitator. Today's call will cover a discussion of the results of operations for the quarterly period ended March 31, 2023.  Please be advised that all lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer period. [Operator Instructions]. This call is also being recorded. If you object to the recording, please disconnect at this time.  Please be advised that the commentary in this call will contain projections or other forward-looking statements regarding Peoples' future financial performance or future events. These statements are based on management's current expectations. The statements in this call, which are not historical facts, are forward-looking statements and involve a number of risks and uncertainties detailed in Peoples' Securities and Exchange Commission filings. Management believes the forward-looking statements made during this call are based on reasonable assumptions within the bounds of their knowledge of Peoples' business and operations. However, it is possible actual results may differ materially from these forward-looking statements. Peoples’ disclaims any responsibility to update these forward-looking statements after this call, except as may be required by applicable legal requirements. Peoples' first quarter 2023 earnings release was issued this morning and is available at Peoplesbancorp.com under Investor Relations. A reconciliation of the non-Generally Accepted Accounting Principles or GAAP financial measures discussed during this call to the most directly comparable GAAP financial measures is included at the end of the earnings release.  This call will include about 20 to 25 minutes of prepared commentary, followed by a question-and-answer period, which I will facilitate. An archived webcast of this call will be available on Peoplesbancorp.com in the Investor Relations section for one year. Participants in today's call will be Chuck Sulerzyski, President and Chief Executive Officer; and Katie Bailey, Chief Financial Officer and Treasurer, and each will be available for questions following opening statements. Mr. Sulerzyski, you may begin your conference.
Chuck Sulerzyski: Thank you, Kate. Good morning and thank you for joining our call today. Based on our diversified business model and strong core deposit franchise, we are pleased to report strong quarterly earnings.  In our earnings release earlier this morning, we inadvertently underreported our weighted average diluted shares by 618,965 shares. As a result, our diluted earnings per share was $0.94, which was $0.02 lower than we reported in our earnings release of $0.96. We will issue an 8-K with a new release today. Katie will review our excellent results a little later in the call.  In light of the current events in the banking industry, we will start our discussion with deposits, liquidity, credit and capital. Our deposit base is a key strength of Peoples. At quarter end, only 32% of our deposit balances exceeded FDIC insurance limits. This is down from 33% at year end.  We routinely pledge investment securities against certain governmental deposit accounts, which covered nearly $700 million of uninsured deposit balances at quarter end. Excluding our uninsured deposits that are covered by pledged investment securities, our uninsured deposits were only 19% of total deposits at quarter end.  Our liquidity position more than covers the remaining uninsured deposits. Our deposits are comprised of 75% retail deposits, which includes consumers and small businesses and 25% commercial balances. Our average customer deposit relationship was $30,000 at quarter end. At the same time, our median retail customer balance was a little over $3,000, while our median commercial customer balance was approximately $65,000.  We effectively controlled our cost of deposits, which was 40 basis points for the quarter, compared to 19 basis points for the linked quarter. At the same time, our cost of funds was 72 basis points, compared to 36 basis points for the linked quarter. Excluding our brokered CDs, which we used for funding, our deposit costs for the quarter were 29 basis points, compared to 16 basis points for the linked quarter.  We estimate approximately 85% of our deposits are from rural markets, while only 15% come from urban markets. During the recent turmoil in other markets, our clients have remained calm, and we have seen little unusual deposit movement. Our team has been proactive in educating our clients on FDIC insurance limits and available options.  We have also been reassuring our clients of our bank's financial stability, which has been well received in the communities we service. Our total deposits, excluding brokered CDs declined $76 million or 1% compared to year-end. We have had inflated deposits related to COVID, so some of that decline was expected over time. We had outflows of savings and money market balances, but those were nearly offset with an increase in our retailed CDs, as we offered more attractive pricing.  We did experience a decline in our non-interest bearing deposits. However, some of the decline was tempered by an increase in governmental deposits that are seasonal in nature. Our demand deposits comprised 46% of total deposits at year end, compared to 48% at year end and 47% a year ago.  Moving to our liquidity position, we continually monitor our liquidity position and have excellent balance sheet liquidity with quick access to funds. Our loan to deposit ratio stood at 82% at March 31, which was unchanged from year end. At quarter end, we had liquefiable assets of around $570 million, including cash and unpledged investment securities. We had nearly $3 million of contingent sources of liquidity, which include potential borrowings, the value of other investment securities that had not been pledged, and available CDARS and ICS funding. Of the $3 billion, nearly $800 million of the available funding is from lines available from the FHLB and the FRB, assuming we have all available potential collateral pledged. We have not utilized the Federal Reserve Bank term funding program since its inception, as we have not needed additional funding, and there is uncertainty around the markets viewing it negatively.  We estimate that using this line as of March 31, in lieu of other funding from the FHLB and the FRB, would have saved us around $740,000 annually in expenses. This funding source also allows us to pledge investment securities at par as collateral instead of at market value. We see the benefit of utilizing this line due to the lower cost compared to other funding sources and believe the projected savings is justified. Therefore, we may utilize this funding source in the future. From a credit quality perspective, we had stable metrics compared to year-end. Our allowance for credit losses was 1.12% of total loans, which was flat compared to year-end. While we increased reserves for pooled loans during the quarter, much of this increase was offset by payoffs of individually analyzed loans, which resulted in a provision for credit losses that was mostly driven by charge-offs during the quarter.  Non-performing assets improved $2.4 million and declined to 0.58% of total assets compared to 0.63% at year-end. This decrease in non-performing assets was driven by payoffs and pay-downs on multiple relationships since year-end, coupled with loans that were no longer past due. The portion of our loan portfolio considered current at quarter-end was 98.8%, an improvement from 98.6% at year-end.  While the current rate environment has put pressure on commercial customers, we have not seen a meaningful uptick in delinquencies. Our quarterly annualized net charge-off rate was 13 basis points for the quarter, an improvement from 18 basis points for the fourth quarter. This decline was driven by lower lease net charge-offs. Our consumer indirect loan charge-offs have grown in recent periods and were 7 basis points of net charge-offs for the quarter, compared to 6 basis points for the linked quarter and 3 basis points for the prior year quarter.  During the first quarter, our number of indirect charge-offs declined. However, the average size of charge-offs grew, resulting in higher annualized net charge-off rate due to used car pricing. The indirect loan charge-offs are within a range we would expect and we are comfortable with them.  Our classified loans experience a slight increase of $4 million compared to the linked quarter end. This was driven by the downgrade of one commercial and industrial relationship. At the same time, our criticized loans were up 4%. This increase was largely due to three commercial and industrial relationships. The increase in criticized loans was partially offset by pay-downs of $16 million and upgrades of $2 million during the quarter.  With regards to commercial office space, this remains a very small portion of our loan portfolio. Our total exposure was $107 million at quarter end and represented 1.9% of our total loan portfolio. The top 10 borrowers represent 55% of the commercial office space loan portfolio and have average liquidity of $15 million. These borrowers average $6 million in commitments and $5.5 million in outstanding balances. We only have $1.7 million of commercial office space balances maturing in 2023. As for our multifamily real estate loan portfolio, our total exposure was $426 million at quarter end. The outstanding balances of this portfolio were $235 million at quarter end and the majority of our exposure is within the construction phase with top tier developers. This portfolio is concentrated in Central Ohio and our top 10 exposures account for 50% of the portfolio. The average liquidity of these top 10 borrowers is $21 million. We see no major problems with our projects, but there has been the occasional permitting or construction delay. Projects have largely been leasing up at the desired speeds with most of them at rents higher than projected.  We remain focused on growing and maintaining a diversified loan portfolio. At quarter end, our commercial real estate loans comprise 31% of total loans, while commercial and industrial loans were 19%. Construction loans were 5%, specialty finance loans totaled 10%, and our consumer loans were 35%. Of our commercial real-estate loans, 37% is owner-occupied, which we view more like commercial and industrial loans. We generally only do these transactions where we bank the operating company.  Compared to year-end, our loan portfolio grew 4% on an annualized basis. This includes 16% annualized growth in commercial real-estate loans and 11% annualized growth in both leases and consumer indirect loan balances. At quarter-end, the percentage of fixed-rate loans to total loans was 45%, while our floating-rate loans were 55%. We have confidence in our ability to grow our overall loan portfolio organically, with credit quality at the forefront of our process. From a capital perspective, our capital ratios continue to be strong and grew at quarter-end. We are meaningfully above well-capitalized levels. At March 31, even if we included our accumulated other comprehensive loss and held to maturity investment security losses, we would still be above well-capitalized levels for all our capital ratios. I will now turn the call over to Katie for additional details around our earnings and financial performance.
Katie Bailey: Chuck always steals the earnings discussion, and I am delighted to report the following good news. Our earnings improved compared to the linked quarter and were highlighted by diluted EPS totaling $0.94 per share, which was negatively impacted by $0.02 for acquisition-related expenses versus consensus estimates of $0.91. Continued improvement in our net interest income, which was up 3%, and net interest margin expansion of 9 basis points. Fee-based income growth of 9%, which was primarily due to the annual performance-based insurance income we receive in the first quarter of each year. Our pre-tax, pre-provision, return-on-average assets grew 5 basis points to 2.11%. We also had 4% annualized total loan growth compared to year-end. Our deposit costs, excluding brokered CDs, remained low and only grew 13 basis points compared to the linked quarter. Our tangible equity to tangible assets ratio improved to 7.1% and was up 41 basis points compared to year-end. At the same time, our tangible book value per share improved $1.14 compared to year-end and was $17.37.  For the quarter, our net income was impacted by expected additional expenses we typically recognize in the first quarter of each year. As a result, our total non-interest expense for the quarter included employer contributions to health savings accounts of $591,000 and stock-based compensation expense for certain employees of $1.1 million. Combined, these additional expenses reduced our diluted EPS by $0.05. We also incurred $551,000 in acquisition-related expenses for the quarter, which negatively impacted our diluted EPS by $0.02. Our net interest income grew compared to the prior period, as the higher market interest rates benefited our interest income, outpacing the increase in our funding costs. Compared to the linked quarter, net interest margin grew 9 basis points. Accretion income declined over $220,000 and added 13 basis points to margin, compared to 14 basis points for the linked quarter. During the first quarter, we sold nearly $100 million of available-for-sale investment securities and recognized a loss of $1.9 million. We expect to recover this loss within the calendar year. The purpose of the sales was to make our investment portfolio and overall balance sheet more efficient and improve net interest income. Compared to the linked quarter, our investment yields improved 41 basis points. Our total loan yields improved to 6.1% from 5.6% for the linked quarter and 4.5% for the prior year quarter. Our fee-based income improved 9% compared to the linked quarter, primarily due to the annual performance-based insurance commissions we receive in the first quarter of each year. Our total non-interest expense grew compared to the linked quarter. As I mentioned earlier, we were impacted by additional costs we typically recognized during the first quarter of each year. We also had higher franchise tax and electronic banking expense compared to the linked quarter.  Our reported efficiency ratio was 57.8% for the quarter compared to 56.7% for the linked quarter. When adjusted for non-core expenses, our efficiency ratio was 57.2% compared to 55.9% for the linked quarter. From a balance sheet perspective, we grew our investment securities portfolio to 24.6% of total assets compared to 24.2% at year-end. We have been selectively choosing certain securities to enhance our portfolio prior to the closing of the Limestone Merger, as we manage towards our future outlook for the balance sheet.  We still anticipate that investment securities as a percent of total assets will decline in future periods as we manage our liquidity position and bring on Limestone. We will continue to actively manage the investment securities portfolio and may be opportunistic as it relates to future sales as we were in the first quarter where there is a benefit from an interest rate and earn back perspective. From a liquidity viewpoint, we do not anticipate the need to liquidate our investments to ensure future liquidity.  As it relates to our interest rate sensitivity, we continue to manage to a relatively neutral balance sheet position. We remain slightly asset sensitive. We have taken actions over the last couple of quarters to reduce our exposure to lower interest rates, primarily through the investment security purchases we have made.  We anticipate that the Limestone Merger will have a minimal impact on our interest rate sensitivity position. We believe they may reduce our asset sensitivity slightly, but will not meaningfully change our interest rate profile.  We continue to have a strong capital position which further grew this quarter and exceeds well-capitalized limits. At quarter end, our common equity Tier 1 capital ratio improved 30 basis points compared to year-end, while our total risk-based capital grew 29 basis points and our leverage ratio include 10 basis points. In reaction to the recent bank failures, we have taken additional steps to analyze our capital levels. Although we excluded our accumulated other comprehensive loss from the calculation of our regulatory capital ratios as permitted by regulators, we completed an analysis where we included that loss, as well as losses on our held to maturity investment securities portfolio in our regulatory capital ratios.  Even including these unrealized losses, which totaled $165 million after tax, our regulatory capital ratios have all been considered – would have all been considered above well-capitalized levels at March 31, 2023. For example, at quarter end, our common equity Tier 1 capital ratio – capital was $624 million or $12.2% of risk-weighted assets. If you reduce our common equity Tier 1 capital by our accumulated other comprehensive loss of $111 million, that ratio is 10% of risk-weighted assets.  If you further reduce our common equity Tier 1 capital by our after-tax unrealized loss on our held-to-maturity investment securities, which was $54 million, it resulted in a ratio of 8.7% of risk-weighted assets. These calculations are above the 6.5% well-capitalized level set by regulators for this particular ratio.  Our tangible equity to tangible asset ratio improved to 7.1% from 6.7% at the linked quarter end as earnings net of dividends increased our capital coupled with a slight recovery in our accumulated other comprehensive loss. We grew our book value per share and tangible book value per share by 15% and 28% respectively on an annualized basis compared to year end.  Earlier this morning we announced a $0.01 increase to our quarterly dividend. We remain focused on providing a quality return for our shareholders and have increased our dividend for eight consecutive years. I will now turn the call back to Chuck for additional comments. 
Chuck Sulerzyski : Thank you, Katie. We had another strong quarter and continue to look forward to our future. At the same time, we are working to assess our readiness to cross the $10 billion asset threshold. We are in no hurry to cross the threshold, however we want to be prepared as soon as possible, so that we do not restrict ourselves from seizing opportunities that could be beneficial for our future success. With this in mind, we have engaged a third-party accounting and consulting firm to assist with our analysis and preparation process.  As far as our merger with Limestone, we are on track as far as timing, and we expect to hit our internal metrics on projected cost savings. We have received regulatory approval and the plan to close the merger as of the close of business on April 30. We have a separate conversion date in the third quarter for our core processor and are coordinating our processes and those of Limestone between the close and conversion dates with our operations teams. For months, we have been engaging with the clients and communities served by Limestone. We are actively ensuring our full suite of products will be available in the Limestone markets, including indirect lending, mortgage, dealer floor plans, insurance, trust and specialty finance opportunities. We are optimistic about our combined future, and we are excited about the talent we are picking up in the merger. We want to finish up with our guidance for the remainder of 2023. These projections include the impact of the pending Limestone Merger, but exclude acquisition-related expenses. During the rest of 2023, we expect our net interest income to continue to grow due to the impact of the Limestone Merger, as well as the full-year benefits of higher market interest rates as our loans re-price to the newest rate. As we noted during our last call, we expect net interest margin expansion to slow throughout the year as we continue to increase our funding costs. With those items in mind, we believe that net interest margin for 2023 will be between 4.4% and 4.6%, which assumes relatively flat market interest rates for 2023 as compared to year-end 2022. However, the second quarter might come in below this range, given the merger closing and our related purchase accounting adjustments, but we expect the full-year margin will be within this range. We anticipate loan growth of between 25% and 30%, including the new Limestone balances, while we believe our annual organic growth without the acquired loans will be between 5% and 7%. We expect fee-based income percentage growth to be in the low double-digits compared to 2022, which includes the impact of the pending Limestone Merger. We are anticipating a 21% increase in our total non-interest expenses for 2023, excluding acquisition related expenses compared to the full year of 2022, assuming we achieve our anticipated cost savings for the merger. Since our closing conversion dates are separate for the Limestone Merger, we believe we will incur acquisition-related expenses during the second quarter of between $9 million and $10 million, with another $4 million to $5 million during the third quarter. We will also record a provision for credit losses during the second quarter to establish the allowance for credit losses for the acquired non-purchase credit deteriorated loans from Limestone. We estimate that the provision for credit losses we will record will be between $11 million and $13 million. However, there are many moving pieces, and this number is subject to change. We expect our efficiency ratio, excluding one-time expenses to be between 55% and 57% for the full year, including the impact of the addition of Limestone. We believe we will have an increase of about 5 basis points in our net charge-off rate during 2023 compared to 2022. As far as bank performance, we understand that analysts are cutting earnings projections for institutions across the board, but we do not believe this to be an accurate indicator for investors of Peoples. We recommend that analysts look at each bank individually and inform the market based on their analysis. Specifically, across-the-board moves short-change the quality of our deposit book and the strength of our margin. We remain comfortable with our original 2023 estimate. From our perspective, we believe our deposit loan growth earnings trajectory and the impact of Limestone Merger make it likely that we will grow earnings between 18% and 19% in 2023. This concludes our commentary, and we will open the call for questions. Once again, this is Chuck Sulerzyski and joining me for the Q&A session is Katie Bailey, our Chief Financial Officer. I will now turn the call back into the hands of our call facilitator, Kate. Thank you.
Operator: [Operator Instructions]. Our first question is from Brendan Nosal of Piper Sandler. Please go ahead.
Brendan Nosal : Hey! Good morning, folks. Hope you're doing well.
Chuck Sulerzyski: Hi, Brendan.
Katie Bailey: Hi, Brendan.
Brendan Nosal : Maybe just to start off on funding costs here. I mean, they remained remarkably benign for you folks over the course of this tightening cycle. I'm just curious you know, if given all of the changes for the bank space over the past few months, is there a point at which there's a larger catch up, just kind of given where the yield curve is versus your current funding costs, and then also the need to maybe more actively maintain deposit balances?
Chuck Sulerzyski: Nothing crazy. Nothing more than what you've seen already. I think the difference between this quarter and last quarter, I think you might expect that going forward, but nothing more severe than that. And again, I think it's a testament to the markets that we serve, where a lot of places that a lot of people have left large competitors.
Brendan Nosal : Okay, perhaps one more for me. You folks mentioned getting prepared internally for $10 billion in assets, and I was just kind of wondering what that process looks like in terms of your appetite for M&A in the near term, whether that kind of pushes out a desire to do deals as you get ready internally.
Chuck Sulerzyski: Well, the process review – to answer the first part of the question of what that process looks like, it's a comprehensive review of all of our processes as it relates to compliance, credit, accounting, operations, systems, etc. As far as our appetite for M&A in the short term, we'd like to get limestone closed this week and converted in August and make sure that's up and sailing. We’re in, as I said, no hurry to cross $10 billion, but we don't want to leave – we don't want to be left not able to take advantage of a situation that should something that we view as strategically important come along. So, if we could pick it, we'd cross $10 billion a couple of years out, but we may not have that ability to pick it.
Brendan Nosal : Yeah, understood. Thank you for taking the questions.
Chuck Sulerzyski: Thank you.
Katie Bailey: Thank you, Brendan.
Operator: The next question is from Daniel Tamayo of Raymond James. Please go ahead.
Daniel Tamayo : Hey! Good afternoon, everyone.
Chuck Sulerzyski: Hi Danny!
Katie Bailey: Hi Dan!
Daniel Tamayo : Maybe first, just following up on the funding discussion. Just curious kind of how you're thinking about the interplay between when you are using the wholesale funding, if it's brokered CDs, if it's FHLB, how you're thinking about that? And then how far out you're going in terms of maturities with those fundings?
Katie Bailey: Sure. So, as you saw in the results for the first quarter relative to the fourth quarter, we did access the brokered CD market as that pricing was advantageous compared to what our primary source historically and continues to be the FHLB for our overnight funding needs, so we did use the brokered. And they're generally going – we're going out three to six months on the brokered side, so not real long given the current expectations on the rates.
Daniel Tamayo : Understood, that makes sense. And then a follow-up is around Limestone. I saw their release this morning. I didn't see anything on their office exposure was. Was just curious if you had a sense for how much Limestone would add to the $107 million you mentioned in terms of overall office and if that's mostly Louisville.
Chuck Sulerzyski: Yeah. They have a little bit more heavy weighting in office than we do. If you give me a minute or two we'll come up with a number for you. But yes, on the geography question, it's more – so, they have $51 million extra in office than we have more in Central Kentucky, Louisville, Lexington focused.
Daniel Tamayo : Got it, okay. All right, that's helpful. Yeah, that's all I had. Thank you. 
Chuck Sulerzyski: Great! Thank you. 
Operator: The next question is from Terry McEvoy of Stephens. Please go ahead.
Brandon Rud: Hi! This is Brandon Rud on for Terry. 
Chuck Sulerzyski: Hi Brandon!
Brandon Rud: My first question here, can you just kind of talk about your thoughts on the non-interest bearing deposit flow and where those could bottom as a percent of total deposits?
Chuck Sulerzyski: I think the trend that we've seen in terms of a percent of total deterioration this quarter, was not quite a percent. If you look at since the beginning of the rate rises, I think that that continuing for a little bit is likely. But I don't think you're going to see massive changes in the ratio between the interest bearing and the non-interest bearing DDA. Those are pretty stable, long-term customers.
Brandon Rud: Okay, perfect. And one, I think in your NIM guide, you said 4.40% to 4.60% for the year, 2Q coming in lower than that. I get there's some movement with the merger, but do you think on a core basis or on a standalone People's basis, the margin has peaked or is there further room for expansion there?
Chuck Sulerzyski: I think it's about where it's going to get to, if you take the noise out with the acquisition.
Brandon Rud: Okay. Just one on credit quickly, the criticized loan increase, I think in the release it said C&I. Did you give any specifics on which industries those credits were in?
Chuck Sulerzyski: It was the, it was there in the DLF flow plan.
Brandon Rud: Okay. And sorry, just one last one. So the decision to restructure the securities portfolio, what point in the quarter was that? Was it in mid-March – was mid-March the catalyst for that or is that prior to all the events?
Chuck Sulerzyski: Yeah, it was prior to all of that. Actually, there was a piece of it done in mid to late February, and then a piece was done very early in March.
Brandon Rud: Okay, perfect. Those are the questions I had. Thank you.
Chuck Sulerzyski: Thank you.
Operator: [Operator Instructions]. The next question comes from Manuel Navas of D.A. Davidson. Please go ahead.
Manuel Navas: Hey! Good morning.
Katie Bailey: Good morning.
Manuel Navas: How should we think of deposit growth was on a core basis for the year? What are kind of some of the puts and takes there?
Chuck Sulerzyski: I think there's some seasonality in our deposits, some flows with public funds. I think at 82% loan-to-deposit ratio, I think that we have a fair amount of room. We don't need to price more aggressively than we're pricing. So I expect minimal deposit growth outside of the Limestone acquisition and I think that's, that will help us from a margin perspective.
Katie Bailey: And I would say there will likely continue to be a mix shift within the portfolio as you've seen the last few quarters, out of kind of the lower cost deposits into more of the CDs. When I say CDs, I'm thinking retail kind of CDs, customer CDs. We'll continue to look at the brokered market as a funding source and I know that rolls up into deposits, but that's viewed more as funding than kind of customer deposits per se.
Manuel Navas: I appreciate that. Kind of a bigger picture, what kind of shifts in your thinking if a recession hits, like second half of the year in terms of some of your guidances? And not to be so negative, where are some of the opportunities where your guidance can be almost conservative?
Chuck Sulerzyski: So which knife do you want us to slit our throat with? Okay, I don't see a recession. We don't have a great deal of optimism on the economy baked into those numbers. You know, we're in markets that don't grow. Our proposition is very simple. The only way we can grow is to take business away from the competition. That doesn't change in good times or bad times. So in some ways it's a little recession. It's independent of any recession.  What I would say is that the leasing businesses that we have may do a little better in harder times than the core business. So that'll help offset any flows. But we don't have a lot of great growth in there in terms of based off of the economy. Does that help you?
Manuel Navas: Yes, that helps. I feel like – I think we've kind of covered most other things, so I really appreciate the color.
Chuck Sulerzyski: No, thank you. Thank you.
Operator: The next question is a follow up from Brendan Nosal of Piper Sandler. Please go ahead.
Brendan Nosal: Hi! Just one more for me. Thank you for the commentary on the margin, just in terms of kind of where the 2Q lands versus the full year guide. I guess looking beyond that, does the margin move back up in the third quarter given that 2Q pressure is on kind of purchase accounting noise or is that just a reset lower that kind of carries through the rest of the year?
Katie Bailey: No, it resets higher. And what we're just giving heads up to in the second quarter is, as you're well aware, we go through day one valuation and they'll be preliminary. It's 630 [ph] that we're using to record off of and there'll be likely true ups that happen in the third quarter. So there will be some noise in mostly the accretion income that is recorded in each of those periods. So that's why there's a potential that Q2 might be lower than the guidance, and then it'll bounce back in that range in the third and fourth quarter.
Brendan Nosal: Got it, but it sounds like all of that noise will be purchase accounting and not the core margin, correct?
Chuck Sulerzyski: Correct. And we'll disclose it as we always do.
Brendan Nosal: Perfect. Thank you for taking the follow-up.
Operator: At this time, there are no further questions. Sir, do you have any closing remarks?
Chuck Sulerzyski : Yes, I'd like to thank everyone for joining our call this morning. Please remember that our earnings release and a webcast of this call will be archived at www.peoplesbancorp.com under the Investor Relations section. Thank you for your time, and have a great day!
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.